Operator: Welcome to the Fourth Quarter 2016 Bunge Earnings Conference Call. My name is Vanessa, and I'll be your operator for today's call. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. And I will now turn the call over to Mr. Mark Haden, Vice President, Investor Relations. You may begin, sir.
Mark Haden - Bunge Ltd.: Thank you, Vanessa, and thank you, everyone, for joining us this morning. Before we get started, I want to inform you that we have prepared a slide presentation to accompany our discussion. It can be found in the Investors section of our website at bunge.com under Investor Presentations. Reconciliations of non-GAAP measures disclosed verbally on this conference call to the most directly comparable GAAP financial measures are posted on our website in the Investors section. I'd like to direct you to Slide 2 and remind you that today's presentation includes forward-looking statements that reflect Bunge's current views with respect to future events, financial performance and industry conditions. These forward-looking statements are subject to various risks and uncertainties. Bunge has provided additional information in its reports on file with the SEC concerning factors that could cause actual results to differ materially from those contained in this presentation and encourages you to review these factors. Participating on the call this morning are Soren Schroder, Chief Executive Officer; and Tom Boehlert, Chief Financial Officer. I'll now turn the call over to Soren.
Soren W. Schroder - Bunge Ltd.: Thank you, Mark, and good morning, everyone. Please go to Slide number 3. Bunge finished the year on a strong note, and we're optimistic about 2017. The fourth quarter came in about as expected, with sequential improvement in crush and export performance to North America. Food & Ingredients showed significant year-over-year improvement, and our sugar milling business set a record for the quarter and the year, despite rain disruptions during December. We generated $1.5 billion of funds from operations and kept our Agri-Foods return at 1.6% above cost of capital. So, looking back at 2016, I feel good about our accomplishments in a very challenging market environment. Let's move to Slide number 4. Let's have a look at some of our strategic accomplishments during the year, which are helping us build sustainable value in Bunge. Having the right balance both in terms of capital allocation and business mix is one of our top priorities. On the back of the strong cash generation, we grew our dividend again by 11%, purchased $200 million of common shares for a total of $457 million returned to shareholders. CapEx for the year finished at $784 million, and we are tracking $275 million below our 2014 to 2017 CapEx target for our Agri-Foods operations. We grew our value-added portfolio through a number of bolt-on acquisitions. Our success in acquiring Walter Rau Neusser was a small but important step towards building out our global B2B oils business. And the acquisition of Ana Gida, a leading bottled oil company in Turkey, will complement our existing crush and oil business there and expose us to growth in a very dynamic region. And Grupo Minsa, a leading North American corn flour producer, will complement our existing wheat milling business in Mexico and increase our value-added offerings to B2B customers in the United States. Protecting our global footprint is also a priority. It's one of our key strengths and allows us to serve customers year round. It reduces volatility and exposes us to growth. In Brazil, we replaced our Rio de Janeiro mill with a lower cost, more efficient facility and we are well advanced in operating our export terminal in New Orleans. We completed a multi-seed crush plant in the Ukraine in the same location as our port facility, and we have our first rapeseed plant coming on stream in China, as we speak. In addition, we are acquiring 2 million tons of soy crush capacity in Northern Europe, which complements our existing Southern European presence very nicely. We expect to close on that transaction in the first quarter. Growing through partnerships is an important part of our strategy. We created strategic joint ventures in Brazil, Canada and Vietnam, which are improving our competitive position in these key markets and will allow us to grow in a capital-efficient way. We also expanded access to critical markets through distribution partnerships, such as the one signed with OFI in the Philippines for oil distribution in the Asia-Pacific region. And we're also focused on cost. In 2014, we committed to a $345 million improvement program through 2017, of which we have achieved $255 million to-date. Our target in 2016 was $125 million which we exceeded by $10 million and we have an additional $100 million planned for this year. We also continue to build a strong global talent bench, and we've been active on the sustainability front, making sure that our value chains minimize carbon emissions, optimize water use and protect against deforestation. Now, looking forward, growing earnings in a meaningful way remains the number one focus, and we believe conditions are favorable to do that this year. The Agribusiness environment looks better now than at the same time last year. Strong demand for proteins and oils will increase crush utilization and margins, and gross commercialization of crops will normalize with the arrival of record crops in South America. In Food & Ingredients, we expect 2017 to be a year of growth in earnings, driven by an increased share of added-value products and overall volumes. And in sugar milling, we are confident in another jump in earnings, while we continue to look for the best way to reduce exposure to the business. So, in summary, we are very focused on building an industry-leading, integrated Agri-Food business, focused on grains and oilseeds and we expect that 2017 will be a year of further progress on executing our strategy and confident in the earnings growth we outlined at Investor Day. Now, I'd like to welcome Tom to his first earnings call. Tom started with Bunge just before the holidays and will be an important contributor to our success with a particular focus on driving a cost advantage position as well as on capital allocation and realizing our strategy. I'll now turn the call over to him for further highlights on the financials and the outlook for the year.
Thomas Michael Boehlert - Bunge Ltd.: Thank you very much, Soren, and hello, everybody. Let's turn to the earnings highlights on Slide 5. Reported fourth quarter earnings per share from continuing operations were $1.83 compared to $1.31 in the fourth quarter of 2015. Adjusted EPS were $1.70 in the fourth quarter versus $1.49 in the prior year. The Agribusiness performed relatively well in a still challenging market environment. The Food & Ingredients and Sugar & Bioenergy businesses had strong quarters, outperforming the prior year. Total segment EBIT in the quarter was $403 million versus $294 million in the prior year. On an adjusted basis, EBIT increased to $362 million from $337 million in 2015. 2016 was adjusted down by $41 million, primarily as a result of gains on dispositions, partially offset by impairments. 2015 was adjusted up by $43 million, primarily due to impairments. Agribusiness had a reasonable performance, even though adjusted EBIT decreased by $31 million to $237 million in the fourth quarter 2016 compared to $268 million in the prior comparable quarter. The $31 million decrease resulted from a $51 million decrease in oilseeds, partially offset by $20 million increase in grains. Global soy crush volumes were similar to the comparable quarter in the prior year, but margins were under pressure due to softer meal demand. Crush margins in Asia have shown some improvement after a period of negative returns. Soft seed results improved compared to a year ago as a result of improved vegetable oil demand and cheaper seeds in Canada and Europe. The $20 million increase in grains was primarily the result of significantly higher volumes and margins in North America resulting from record crops. Overall, Agribusiness results were lower than the comparable period last year primarily because, while risk management results were positive, there were fewer opportunities in the markets this year as compared to last year. Food & Ingredients' adjusted EBIT increased by $24 million to $70 million in the fourth quarter of 2016 compared to $46 million in the prior comparable quarter. The $24 million increase was attributable to a $15 million increase in edible oils and a $9 million increase in milling. The increase in edible oils primarily resulted from improvements in Brazil, where restructuring of the business and an increase in market share came through the results, as well as in India where we saw higher margins. The $9 million increase in milling adjusted EBIT was also primarily the result of improvement in Brazil, driven by the contribution of Pacifico and restructuring of the business. This was partially offset by a reduction in milling results in North America due to the devaluation in the Mexican peso and competitive pressures. Sugar & Bioenergy quarterly adjusted EBIT was $30 million compared to $10 million in the prior period, a $20 million increase. The increase was primarily the result of higher sugar and ethanol prices, partially offset by lower crush volume resulting from rains in December. Our cost reduction in agricultural improvement programs continues to support the results in the segment. Biofuels made a positive contribution, which was offset by a loss associated with our renewable oils joint venture. Fertilizer adjusted EBIT increased to $25 million in the fourth quarter of 2016 from $13 million in the fourth quarter of 2015. Fertilizer volumes increased as a result of increased corn and soybean planted acreage in Argentina, where prices were lower due to global oversupply. The segment also benefited from an $11 million accrual reversal of natural gas tariffs payable. The full tax year expense – the full-year tax expense was $220 million resulting in a 22% reported tax rate. Excluding notable items, the full-year tax rate was 24%. Full-year interest expense was $234 million, which benefited from a $10 million reversal of interest accrued on the Argentine gas tariff in the fourth quarter and a $16 million credit for interest avoided in a Brazilian tax amnesty settlement also in the fourth quarter, which was reflected as a notable item. Let's turn to Page 6 and our cash flow highlights. We generated $1.5 billion of funds from operations in 2016. The increase of $100 million over 2015 reflects lower interest from taxes in 2016, partially offset by lower adjusted EBIT as compared to 2015. Let's turn to Page 7 and our capital allocation process. Our top priorities are to maintain both a BBB credit ratings as well as access to committed liquidity sufficient to comfortably support our Agribusiness flows. We are rated BBB by all three rating agencies and had $5 billion of available committed credit at yearend. Within that capital structure and liquidity framework, we allocate capital amongst CapEx, portfolio optimization, which includes acquisitions, investments and divestitures and to shareholders in a manner that provides the most long-term value to shareholders. We invested $784 million in CapEx in 2016. The primary growth CapEx projects were the completion of the Rio wheat mill and the Ukrainian port and crushing plant and the upgrade of our New Orleans port facility. CapEx also included $131 million related to the sugar business, the majority of which was for planting sugarcane. We generated $142 million in net proceeds from our portfolio activities through the combination of the divestiture of part of our interest in Terfron and our crush JV in Vietnam along with the acquisition of Walter Rau. And we returned $457 million to shareholders through dividends and share repurchases. The balance of the $1.5 billion of funds from operations generated in 2016 will be applied to closing of the previously announced Minsa, Ana Gida and European soy crush plant acquisitions and repayment of $250 million of maturing senior notes. In the fourth quarter, we completed the last in a series of three successful note offerings during the year, totaling just over $1.5 billion. Let's move on to Slide 5 (sic) [Slide 8] and our return on invested capital. Our trailing four-year average return on invested capital was 7.4% overall and 8.6% for our core Agri and Foods businesses, 1.6 percentage points above our cost of capital. Our goal is to earn 2 percentage points above our cost of capital on the Agri and Food businesses. Let's look at the outlook on Slide 9. We expect an improved environment and normalized results for the Agribusiness in 2017. 2016 results were negatively impacted by the previous year's small soft seed crops, lower than expected meal demand due to higher than usual inclusion of wheat and feed formulations, and low advanced sales of the 2017 crop by farmers in Brazil. Looking forward to 2017, we expect good demand for protein and oil and record crops in soybeans and soft seeds. This should increase capacity utilization rates and crush margins, as large crops become commercialized as the year progresses. This environment would imply a return to the historical annual EBIT levels, which range between $895 million and $1.05 billion in the 2012-to-2015 period. The first quarter has started out slow. Crush margins in the Northern Hemisphere are average, but still soft in South America. Farmer selling continues to significantly lag average rates, but we expect to see an increase in activity as the harvest progresses in Brazil. These dynamics would dictate a first quarter EBIT in the range of $150 million to $200 million, although I would emphasize that market dynamics can change quite quickly. We would expect the Food & Ingredients business to contribute – to continue its upward momentum and generate EBIT in the range of $270 million to $290 million for the year. Our operational and commercial actions over the last two years have resulted in a leaner, more efficient business model with greater share of higher value products. We expect this will result in higher volumes and margins in 2017. For the first quarter, we expect EBIT to be approximately 20% higher than the first quarter of 2016 once last year's results are reduced by a $12 million mark-to-market benefit recorded in that period. On Slide 10, we expect the environment for sugar and Brazilian ethanol to remain positive and combined with our efficiency investments made in recent years to result in EBIT in the range of $100 million to $120 million in 2017. A substantial portion of our sugar production is hedged at a level that supports this outlook. The mills are not expected to begin to operate until the end of the first quarter due to the usual seasonal nature of the business. We expect fertilizer EBIT to be approximately $30 million for the year, which would be earned largely in the second half of the year, corresponding to the planting season in Argentina. We expect our 2017 tax rate to be between 24% and 27%, net interest expense in the range of $200 million to $225 million, DD&A to be approximately $550 million and CapEx to be in the range of $750 million to $800 million. All in all, we continue to have confidence in our full-year outlook for the reasons outlined, but expect a slow start to the year in the first quarter. Before we turn to questions, I'd like to just echo the comments Soren made earlier when introducing me. My shared objective at Bunge is to increase earnings per share, while maintaining a reasonable return on invested capital, both over the near and long term. So, to that end, my priorities will be to improve efficiency and reduce costs, particularly in the area of SG&A; allocate capital in a disciplined way; prudently manage risk; and contribute to the overall strategic direction of the company. We will now turn the call over for questions.
Operator: And thank you. We will now begin our question-and-answer session. And we have our first question from Sandy Klugman with Vertical Partners.
Sandy H. Klugman - Vertical Research Partners LLC: Good morning. Thank you. Could you discuss any insights you might have into when we might begin to see better soy meal inclusion rates? And given the significant spread that exists between feed and milling prices, to what extent do you expect wheat owners to blend feed wheat with higher quality wheat to draw down some of these inventories?
Soren W. Schroder - Bunge Ltd.: I think it's already started. What I mean by started is returning to normal inclusion rates on a global basis. The spread for any volume available wheat to soybean meal has come in quite a bit since that dramatic divergence happened in the second quarter. So, we are seeing solid demand for soybean meal. Things are improving. Global trade in meal is up. And as we move into, certainly, the second quarter and third quarter, we expect this to continue. So, the amount of available feed wheat that's actually available for global trade is limited. And so, you probably have to look closer to milling value to get a real sense of the substitutability. And from that perspective, things have narrowed nicely over the last six months.
Sandy H. Klugman - Vertical Research Partners LLC: Okay. Thank you. And then, you discussed the improvement you're seeing in Brazil in your Food & Ingredients business from Pacifico...
Soren W. Schroder - Bunge Ltd.: Yeah.
Sandy H. Klugman - Vertical Research Partners LLC: And restructuring. What's your outlook for underlying demand in the region? And how much more is there in 2017 in terms of productivity gains that can be extracted in the event that demand does not rebound in line with your expectations?
Soren W. Schroder - Bunge Ltd.: Yeah. Brazil actually hasn't rebounded yet. I think the expectations are that Brazil will return to some kind of growth or, at least, stop declining by the third quarter or the fourth quarter of this year. I will see – relative to our early expectations, we'd probably push that timetable out six months. So, the fourth quarter and frankly also the first quarter of this year, we don't really expect any improvement in underlying consumer behavior and that is evidenced by retail indexes in Brazil that suggest that even the first quarter is going to be year – down year-over-year. So, all the improvements we've seen in Brazil really in the last year in Bunge have been from our internal optimization and restructuring programs, most of which have been around the milling business. There's always something left. We are in a continuous journey. We've got $100 million of performance improvement benefits planned for this year, of which roughly half is in Food & Ingredients and a good part of that is in Brazil. So, although we expect a slow start to the year, as Tom suggested, we still have things we can do to become leader in all of Bunge, but also in Brazil. And we expect that, that will still give us a year with growth in earnings. And then, hopefully, as we get into the second half of the year, we will see a pickup from the consumer in Brazil. But we feel pretty certain by now that it won't be in the first half.
Sandy H. Klugman - Vertical Research Partners LLC: That's very helpful. Thank you.
Soren W. Schroder - Bunge Ltd.: Okay.
Operator: And thank you. Our next question comes from David Driscoll with Citi.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Great. Thank you, and good morning.
Soren W. Schroder - Bunge Ltd.: Hi, David.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: I wanted to ask about the new crushing plant announcement that you put out on – I think it was like January 9. I think this is the new – or the first new plant in North America for Bunge in 15 years. And I think you said that it will come online in the end of 2019, but I don't really know the size or the capital costs or when you break ground. I'd be interested in those things. But the real big question here, Soren, is kind of why make the announcement now? At Analyst Day, I thought that the message was that crush margins needed to increase to encourage new capacity investments. And then, your 2017 comments here, it sounds like Agribusiness is normal on the year, but first quarter is actually coming off to a slow start. So, I'm guessing you're not seeing the indications that would suggest that one should add new capacity at the same point in time you've made this announcement. Can you pull everything together for us? And I really want to keep focused on the bigger picture comments, too, about where the crushing industry is headed. Thank you.
Soren W. Schroder - Bunge Ltd.: Okay. Well, yes, sure. Thanks, David. Soy crush margins are actually better on average than they were the same time a year ago. On average, probably $3 to $5 a ton, a little bit depending on the region. The picture we presented at Investor Day of a continuous improvement in capacity utilization on the back of growing meal demand is absolutely intact. So, our two-year to three-year view of getting up to that 85% to 90% utilization in key regions during the peak periods, we feel very strongly about and particularly, in the U.S., where both domestic meal demand but also exports continue to grow at a brisk pace. So, when you plan for these types of, let's say, major investments, the lead time until completion is they can be anywhere from two to three years. We have still not determined exactly the size of the plant yet. In any event, it will be a scalable plant. But exactly the size of it hasn't been determined. That will happen over the next three to six months. And so, by the time this plant is ready to run and supply the market you are talking, I would say, at least, 2019, it could even be a little bit later than that. And this, you have to see within the context of Bunge's position within the Eastern part of United States, where we have a very strong position that is fully integrated with our downstream Food business of refining and packaging, but also made up of several many smaller plants that we will either have to invest significant amount of additional capacity and keeping competitive or, as we are doing now, looking towards the future and saying that, in reality, the future real growth demand domestically and exports should probably be supplied by fewer, larger plants. So, it is – in anticipation of all that, that we're putting the announcement out now, exactly how it all plays out in three years, we'll deal with when we get there. But these are big lead time projects. But the overall story around soya crush and the margin expansion that we anticipate is absolutely intact.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: And, Soren, just to be clear, do you think that margins need to expand from where they are today to encourage further investment or are margins sufficient at present levels?
Soren W. Schroder - Bunge Ltd.: No, they will have to expand further. So, we look at – so, we had a bit of a setback in global crush margins on the back of the Q2 formulation switch last year, and it's taken us most of the balance of 2016 to get back to normal. And as I mentioned earlier, the starting point for 2017 is a better one than it was the same time last year. But I think we are still a good $6 a ton to $7 a ton on average for where margins will be or should be given the supply and demand of capacity that we outlined at Investor Day. So, we are certainly expecting this year as the year progresses, but also looking into 2018 and 2019, a continuous improvement of margins from where they are now. And I'm – don't hold me to it exactly, but I'm guessing in the $7 average type of range per ton.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: One follow-up – thank you. One follow-up for me on the first quarter. Can you guys just comment on what's the implication of an earlier South American harvest on your franchises. Some of your competitors have commented about it and that it hurts North America. But given the size of your South American footprint, can you just kind of put the two pieces together about what it means when we have an earlier South American harvest?
Soren W. Schroder - Bunge Ltd.: Well, under normal circumstances, with an early South American harvest, where you both have soybeans and corn available, it would clearly be good for us, given our footprint in Brazil in particular. But because of the drought in Brazil in the corn growing areas last year, there is no corn exports left. And therefore, the U.S. will continue to supply the world market with corn probably until April and May when Argentina gets back on stream. But South America will take over the soybean market. As we speak, that transition is already ongoing. But as opposed to previous years, where you've had both corn and soybeans available in a competitive way out of South America, this year, it's really only the soybeans that switched first. So, it's a mixed story, really.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Thank you. I'll pass it along.
Soren W. Schroder - Bunge Ltd.: Okay.
Operator: And thank you. Our next question comes from Ann Duignan with JPMorgan.
Ann P. Duignan - JPMorgan Securities LLC: Yes. Good morning.
Soren W. Schroder - Bunge Ltd.: Hello, Ann.
Ann P. Duignan - JPMorgan Securities LLC: Good morning. Maybe following up on David's question. Could you talk little bit about the devaluation of the peso and what that would do to your different business segments?
Soren W. Schroder - Bunge Ltd.: Well, the Argentine – or the Mexican peso, I presume?
Ann P. Duignan - JPMorgan Securities LLC: Mexican peso, sorry, yes.
Soren W. Schroder - Bunge Ltd.: Okay. All right. Okay. Well, I mean, it's clearly hurting our translation gains into U.S. dollars and that's – I think Tom mentioned that in his commentary about Q4 and it also will play into the early part of this year. So, that's not a good thing. That being said, underlying demand and off-take for both our milling and I believe also to corn products, Mexico is still strong. So, margins in local currency were actually quite good. It's just the translation to dollars that will hurt us. So, the underlying business is healthy. But as we saw in Brazil in 2015, the translation of earnings obviously has an impact.
Ann P. Duignan - JPMorgan Securities LLC: And then, I'm assuming, with the weaker Mexican peso, Mexico may turn to South America more for sourcing of some its commodities. Is that a fair estimation?
Soren W. Schroder - Bunge Ltd.: I wouldn't say that's the case, at least, not at this point. We don't really see any change in trade flows. South America – sorry, North America, both in terms of corn and soybeans, are obviously more than well supplied with mounting surpluses. So, that will remain the cheapest origin for most of the flows of corn beans and also wheat, assuming that the flows are normal. So, at this point, I wouldn't see any dramatic change.
Ann P. Duignan - JPMorgan Securities LLC: Okay. Thank you. And then, just taking a step back, when you look at the different businesses and the outlook for EBIT, where do you think the biggest risks are today as you look into 2017?
Soren W. Schroder - Bunge Ltd.: If you start with the smallest – the smaller segments of Sugar and Food & Ingredients and Fertilizer, I think we feel pretty confident about the ranges we've outlined. So, somewhere around $400 million to $450 million in total for those I think is fairly, fairly high probability. In Agribusiness, it's a range, as Tom outlined, from roughly $900 million to $1.05 billion. The low side of that range would most likely be a result of disappointing farmer selling, although we don't really expect that, given how undersold the South American farmer is. That can happen. We've seen it before. So, it would be a result of lower farmer pricing. And then, another shock or something that would alter the feed inclusion of soybean meal and, let's say, get us back to a flat rather than a 3% growth, which is what we've got plugged in for the year, would have an impact on soy crushing margins. So, I think soy crush margins related to meal demand and farmer pricing are the two variables that will, sort of, get us to the lower end of the range. But as we've seen in the past, it can quickly go the other way, too. So, I think, for now, the middle point of that range is about right.
Ann P. Duignan - JPMorgan Securities LLC: Okay. Thanks for the color. I'll get back in line. I appreciate it.
Soren W. Schroder - Bunge Ltd.: Okay.
Operator: And thank you. Our next question comes from Adam Samuelson with Goldman Sachs.
Adam Samuelson - Goldman Sachs & Co.: Yes. Thanks. Good morning, everyone. Maybe, Soren, following up on something you just said in talking about farmer selling in South America. Given how undersold the farmer is today and given what looks to be a bumper soybean crop and should be good safrinha corn planted acres at least in Brazil, how – can you walk through the circumstances for how they actually remain undersold? I mean, talk about storage capabilities, especially in Montegrosso can you talk about competition levels that you're seeing in originating some of the corn and the beans, port capacity utilization, logistics that would really kind of mitigate or offset what should be a fairly large crop that should be coming to market over the balance of the year?
Soren W. Schroder - Bunge Ltd.: Well, the real has just printed new highs against – recent new highs against the dollar, and that's not helping things at the moment. But we are a good 10%, maybe even a little bit more by now behind pricing this Brazilian soybean crop. And the crop is, as you mentioned, 10 million tons bigger than it was last year. So, we believe – do believe that, as we get into March, March and April will be the months when we'll start seeing brisk pre-selling. At the moment, farmers are delivering against existing contracts, which kind of make sense. But we will get back to normal levels of pricing by, let's say, the middle or end of the second quarter. So, we've got a lot of pricing ahead of us. And almost none of the new crop corn or the safrinha corn has been priced partly because prices at the moment are below the minimum price that's guaranteed by the Brazilian Government. So, there's no incentive from any farmers to sell in advance. But plantings are ahead of schedule. Conditions are great. So, it looks like we will have a very large safrinha corn crop, and it will come to market sometime in the latter part of our summer, but almost none of it sold in advance. So, I really do believe that we will have brisk pricing ahead. It's just a slow start to the year. Our footprint in Brazil will allow us to spread all those volumes in a very efficient way around the entire port infrastructure from the north to the south. Our execution cost should be the lowest in the industry. So, as you say, competition for grain at the farm level has intensified over the last couple of years. But I believe we will be able to offset that – compensate for that through very excellent execution and the footprint that we have. So, we look forward to some active months really starting in March and then throughout the balance of the spring.
Adam Samuelson - Goldman Sachs & Co.: And does the timing of that sale if it's happening later in the calendar year, does that have any impact on margins in your eyes?
Soren W. Schroder - Bunge Ltd.: On the crush margins or origination margins?
Adam Samuelson - Goldman Sachs & Co.: Origination margins.
Soren W. Schroder - Bunge Ltd.: I mean, typically, brisk concentrated periods of selling has a tendency to expand margins and the opposite when it's stretched out. So, it is certainly not – if it's stretched out, it's not good for margins. That's clear. But as I mentioned, I really believe that our footprint, our ability to manage logistics in a very organized, programmatic way, I think, can compensate for a large part of that.
Adam Samuelson - Goldman Sachs & Co.: And can you provide any color on activity levels, both on the origination side as well as kind of the soy crush outlook for Argentina? It seems like the soy crop there might be a little bit smaller than initial expectations, had some weather issues – quality was a big issue last year.
Soren W. Schroder - Bunge Ltd.: Yeah.
Adam Samuelson - Goldman Sachs & Co.: But can you talk about how Argentina is shaping up?
Soren W. Schroder - Bunge Ltd.: Yeah. I mean, huge corn crop coming, so that's – I mean, that's pretty much guaranteed by now. So, that will – Argentina will be the first world origin to alleviate the export pressure on the U.S., starting in April. So, that will be good. Farmers have sold some of their new crop, but there's a lot that remains to be priced. Soybeans, almost nothing has been priced for new crop and the crop actually is – if anything, it's bouncing back. So, the decline has – is not as dramatic as I think many people expected maybe a few weeks ago. And if anything, it's probably at least 55 million tons, maybe a little bit more. We expect the Argentine farmer to be a seller of his crop when he harvest it in April, May and June. We expect to run at full speed in crush in Argentina in the second quarter and certainly most of the third quarter. The market will need Argentina to run at capacity, both for oil and for meal demand. So, we expect margins to be good, better than last year during the same period, where we have a lot of disruptions, as you mentioned. And then, the fourth quarter is a question mark. And in all likelihood, given the somewhat smaller crop, there will be some retention in the fourth quarter. There's a new tax – or the tax reduction coming on exports of soybeans and products early part of 2018, and the farmers will surely take that into account as they decide how much of their – the last part of the crop that they market. So, you could see a situation in the fourth quarter where a lot of demand flips back to the United States, which would actually suit everybody very nicely. But the second and the third quarters should be big quarters in Argentina with all of the installed capacity running more or less at full.
Adam Samuelson - Goldman Sachs & Co.: That's very helpful. I'll pass it on.
Operator: And thank you. Our next question comes from Farha Aslam with Stephens.
Farha Aslam - Stephens, Inc.: Hi. Good morning.
Soren W. Schroder - Bunge Ltd.: Good morning.
Farha Aslam - Stephens, Inc.: And, Soren, with the restrictions on U.S. DDG exports out of the U.S. in both China and Vietnam, how is that affecting your crush facilities in those two countries?
Soren W. Schroder - Bunge Ltd.: In China and Vietnam? Okay. Well, in the case of both of them, it means somehow more domestic soybean meal demand, which is good for margins and should support continued improvement in crush in both regions. Crush margins in China has structurally improved, I would say, from where we were at the beginning of last year and certainly much improved from where we were in 2015. So, I think this will just be another element that gets China and Vietnam for that matter back to the type of margin structure that we should have had all along, which should be a premium to that of the origins. We haven't seen that for a few years. But hopefully, that's now coming. So, positive for destination crush, yes, that's it.
Farha Aslam - Stephens, Inc.: So, that – we should get that in fiscal 2017?
Soren W. Schroder - Bunge Ltd.: Yes. We would – we certainly expect an improvement in our crushing operations in China in 2017. 2016 was already a nice improvement from 2015, and we expect that will carry through into 2017. In fact, 2017, 2018, 2019, as capacity utilization continues to improve in China, it should show improvement in margins as well.
Farha Aslam - Stephens, Inc.: That's helpful. And then, switching to Walter Rau. You made that acquisition in October. Could you share with us what learnings you've gotten from that acquisition, how that's – you're weaving that through the rest of your edible oils business and what opportunities that's giving you?
Soren W. Schroder - Bunge Ltd.: Yes. So, the Walter Rau from an investment perspective was relatively modest. But the knowhow and the skills, the innovation, the products that Walter Rau has particularly in the area of food service and bakery are ones that we are able to transfer to many other parts of Bunge. So, our global segment team is busy at doing that. And within Europe, but not only in Europe, also transfer of knowledge to United States to Brazil, we have also gotten insight and been connected to many customers that we didn't have in the past, and some of that we can talk about in subsequent calls perhaps. But we've been introduced to global accounts that we didn't service before but we now have the opportunity to serve. So, I think, from a synergy – commercial synergy perspective, Walter Rau is meeting all our expectations plus some, although it is a relatively modest-sized business from looking at the outside, but we're very happy with it.
Farha Aslam - Stephens, Inc.: And so, the improvement you're expecting in your edible oils business in 2017, is it driven by developed markets or recovery in Brazil?
Soren W. Schroder - Bunge Ltd.: I would say it is primarily an improvement in North America and in Europe. Brazil had a reasonable year last year in oils. We expect that particularly our bottled oil business will remain strong in Brazil, but it's really about the B2B food service and – food service and bakery segments in the northern hemisphere where we expect margin improvement by shifting out of commoditized volume into more specialty, more complex, more innovative products where Walter Rau plays in, for example, perfectly well. So, it is a margin improvement, shifting commoditized volumes towards added value as we described it in Investor Day and it won't – it doesn't take much of a shift to get a big benefit.
Farha Aslam - Stephens, Inc.: Okay. So, net, I don't need an improvement in Brazil for you to hit your Food and Ag outlook number. Is that right?
Soren W. Schroder - Bunge Ltd.: Relative to this past year, we would certainly say that, in the Ag side of things, we would expect improvement in terms of farmer pricing compared to the previous year. And we do expect that some of, let's say, the run rate synergies coming off the Pacifico and the Rio de Janeiro wheat mill will add to EBIT in the milling sector in 2017. I think there's about $12 million to $15 million of additional EBIT that we haven't fully realized yet out of those two investments that should come through in 2017. So, some improvement in Brazil in Food & Ingredients. And on the, let's say, farmer pricing side, last year was a slow year in Brazil. We would expect that to pick up a little bit.
Farha Aslam - Stephens, Inc.: But you don't expect an improvement in the economy of Brazil for you to make...
Soren W. Schroder - Bunge Ltd.: No, no, not really, no. We are not expecting that the economy as such is going to help us realize an improved EBIT. We certainly – it seems pretty clear that, through the midyear mark, Brazil will still be finding the bottom in terms of retail sales of all kinds. And I think that's reflected in many recent articles by others. Maybe, by the fourth quarter, we'll see a bit of a bounce. But in terms of planning for this year, in Bunge, we're not assuming an economic recovery of any size.
Farha Aslam - Stephens, Inc.: That's helpful. Thank you.
Soren W. Schroder - Bunge Ltd.: Okay.
Operator: And thank you. Our next question comes from Heather Jones with the Vertical Group.
Heather Jones - Vertical Trading Group LLC: Thank you, and good morning.
Soren W. Schroder - Bunge Ltd.: Good morning.
Heather Jones - Vertical Trading Group LLC: Just wanted to start really quickly on Q1. So, I think you said that, on average, crush margins are meaningfully higher than they were last year this time. So, it looks you're guiding to roughly $225 million in total segment EBIT. So, is it fair to assume that you're projecting a very dramatic decline year-on-year in the grains portion of the Agribusiness segment?
Soren W. Schroder - Bunge Ltd.: We – I think that's fair to say that the Q1 grain P&L, grain origination path, new pricing and margin will be slower than usual. Crush margins are better. I wouldn't say meaningfully better, but they're better than last year on average. So, that's a better beginning, so to speak. But we're also not really assuming that there will be any major opportunities from a risk perspective in the first quarter. Everything is priced well, let's put it that way. There are no obvious dislocations. So, whereas last year's first quarter included nice gains from risk management, we are not assuming any of that this year, but that can change very, very quickly. As Tom said, markets are really dynamic. But in giving you a bit of a sense of what the first quarter can look like, we have not included any of that.
Heather Jones - Vertical Trading Group LLC: Okay. I'm thinking about going with the whole dislocation discussion. So, there's discussions in Mexico. They – some government officials there are proposing they begin to shift some of their sourcing from the U.S. to South America. So, I was just wondering if you could give us a sense of what proportion of your U.S. exports, if any, go to Mexico, and I'm thinking specifically in corn.
Soren W. Schroder - Bunge Ltd.: Yes. For us, it's relatively modest. It's – the majority of our flows out of the U.S. are actually to other Central American destinations than Mexico. And soybeans, as an example, are – almost none of them go to Mexico from Bunge's perspective. So, I don't think the export part of Bunge would be impacted in any significant way. And the extent to which there is any switching that takes place to South America, frankly, it all depends on price. And at the moment, it doesn't work. So, there would have to be something else that triggers it and that's – I think it's way too early to tell whether that could happen or not. But I think, in general, buyers around the world are – they're always scanning for global pricing to see how close you are. We had examples over the last couple of years where we even imported Russian wheat to our milling operations in Mexico. I mean, that could happen again. But I don't really foresee a structural shift of any size, unless it is driven by some kind of a trade disruption – left to the markets alone, I would be surprised if it's anything of meaningful size.
Heather Jones - Vertical Trading Group LLC: Right. And going to your comments on the Brazilian farmer selling. So, the situation over the past few years as far as slow U.S. farmer selling was more protracted than anyone anticipated. So, I was wondering if you could compare and contrast U.S. farmers versus Brazilian farmers. And what capabilities does the Brazilian farmer have to refrain from selling for a sustained period of time? Like, could you talk about their storage capabilities, financing or whatever? What could up-end your projection and they'd be able to refrain from selling in the face of a large crop, meaningfully longer than you would have anticipated?
Soren W. Schroder - Bunge Ltd.: I think, in general, as time goes by, farmers everywhere become more and more sophisticated. We saw it in the U.S. The same thing will probably happen over time in Brazil. But the – this economic strength of the average Brazilian farmer is probably not what the U.S. farmer was, if you go back a couple of years. So, the balance sheets are still a bit tighter. And so, from medium to smaller sized farmers, I believe that a lot of it will still flow sort of from the combined – or from the harvest in much the same way as it has. Larger – and some of the really large farmers in Brazil are – have very large – certainly have most of the infrastructure in place to do as they like in terms of storing or holding back or managing margins against further – sales into deferred periods. But the relationship that we have with all those farmers means that we ultimately do get – we do get the opportunity to buy the grain. It may not always be at harvest, but it comes in a later period. I don't really anticipate – given the size of the crop this year, this is an all-time record crop in Brazil. And the last couple of years have not been so good for the average farmer in Brazil. I don't expect significant retention. I think they will be selling simply for cash flow needs as we get into the spring and people start preparing for next year's planting intentions in the third quarter. So, don't expect anything structural to take place this year. But in general, as we saw in the U.S. over time, the farmers find ways to manage their selling and their cash flows like they have in the U.S. So, that is a long-term phenomenon and we have to make sure that the services we offer farmers are more than just buying the grain, which we are. We provide them the financing. We barter with inputs. We help them with risk management solutions, and we have logistics and, let's say, handling infrastructure including drying and conditioning that is number one in the industry. So, there are many other ways in which we can generate value relative to the farmer, and we have to earn our margin and we will.
Heather Jones - Vertical Trading Group LLC: So, thinking about that long-term phenomenon you mentioned as far as it's happened in the U.S. and, as you pointed out, has happened in the South America. And then, your long-term bullish outlook on crush margins, just tightening utilizations around the world, driving higher crush margins, is it your thought that the improved crush environment will more than offset potential – some structural pressures on the origination side? I mean, could you just give us like a bigger picture thought over the next three to five years?
Soren W. Schroder - Bunge Ltd.: Yeah. So, in our projections that we gave at Investor Day, our assumptions were basically that increased volumes and handle would compensate for perhaps some margin pressure on the grain origination side over time. So, we are not assuming any margin improvement. Quite the contrary, a small contraction. But as I said earlier, we have to work with all the tools in the toolbox to generate value for our farm customers. They are customers like any other one and probably the most important part of the franchise. So, there's nothing dialed in, in terms of growth relative to that. And on the crushing side, it really is a matter of improved capacity utilization, particularly in soya crush, over the next two to three years. And those projections, and I believe that that capacity will tighten up as meal and oil demand continues to grow and only modest amounts of new capacity gets onto the market, should hold. So, we were talking $3 a ton to $5 a ton of improvement on the baseline into the further out years, and I believe that's absolutely intact.
Heather Jones - Vertical Trading Group LLC: Okay. Perfect. Thank you.
Soren W. Schroder - Bunge Ltd.: Yes.
Operator: And thank you. Our next question comes from Rob Moskow with Credit Suisse.
Robert Moskow - Credit Suisse Securities (USA) LLC: Hi. Thank you. I want to know, Soren, did you give any numbers as to what you think capacity utilization is right now in North America for crushing and to the degree to which capacity in North America has grown or shrunk just from an industry perspective over the past five years? I'm trying to get a sense of the relationship between the crop expansion and trying to match it up with whether the industry has kept up or not.
Soren W. Schroder - Bunge Ltd.: I think, with some of the brownfield expansions that are taking place, everybody tweaks a little bit every year for very modest amounts of CapEx capacity, the fact that capacity has grown modestly over the last two or three years. But so has – demand has far outpaced it in reality, domestic meal demand, exports and overall crush is – I think this year will be record – very close to it. So, capacity utilization is very healthy. We ran at full – the industry ran at full in the fourth quarter, and we'll run close to that in the first quarter of this year and then you will have the seasonal downturn in the second and the third quarter. But the U.S. industry is in a good spot, even with the small brownfield-type improvements that have happened across the industry. And as we look out two to three years with continued growth in domestic wheat demand and production and also exports, we will need to add some new capacity to the fleet but efficient capacity and hence what we have announced.
Robert Moskow - Credit Suisse Securities (USA) LLC: And can you give us a sense of once it is fully operational – 2019 is a long way off. But is it a 2% increase for the industry, roughly 3%?
Soren W. Schroder - Bunge Ltd.: That's – I can't do that math in my head. I have to get back to you on that one. It's very small.
Robert Moskow - Credit Suisse Securities (USA) LLC: Okay.
Soren W. Schroder - Bunge Ltd.: The net impact at the end of the day, when everything is, let's say, rationalized properly within our existing footprint, the overall increase will be very, very small.
Robert Moskow - Credit Suisse Securities (USA) LLC: Okay. Last question. I've heard you and also ADM talk about feed wheat being an issue in 2016 competition. And what gives you confidence that that is now being worked through and will no longer be part of formulations in 2017? Are you talking to customers who are saying that they worked it through now? Are you looking at price relationships that have become more favorable? And wheat, I think, is supposed to have a surplus year, too. So, is it possible we could have the same situation again in 2017 that we had in 2016?
Soren W. Schroder - Bunge Ltd.: Well, the – the answer is we do both. We obviously look at relative prices and we speak to customers all over the world every day. So, we get inputs from all different sides. What happened in the second quarter last year was rather unique. If you look at the sort of the price index of soybean, meal and corn compared to that of wheat, feed wheat in fact didn't do anything, while every other – the two other commodities rallied by 30% to 40%, and it created a period where the sort of divergence of price was so, so significant that customers locked in feed wheat for extended periods, some all the way through the fourth quarter of last year. And that is what created the sort of prolonged overhang of feed wheat in the formulations. That has now returned. Price relationships are back to normal levels. And so, feed formulation is adjusting back to where it should be. If you get the same phenomenon, some dramatic spike in corn and meal prices sometime during the year, yes, given the surplus of wheat, the same thing can happen. So, that is the – one of the risk elements that we discussed earlier in the call. But that is not necessarily predictable. There's no reason why you would think that should happen today with record crops of soy and corn coming in South America on the back of now three record crops in North America and building inventories. So, I – it would have to be a very unusual circumstance before that happened to the same magnitude as it did last year.
Robert Moskow - Credit Suisse Securities (USA) LLC: Got it. Thank you so much.
Soren W. Schroder - Bunge Ltd.: Okay.
Operator: And thank you. Our next question comes from Ken Zaslow with Bank of Montreal.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Hey. Good morning, everyone.
Soren W. Schroder - Bunge Ltd.: Hello, Ken.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): I just have two questions. One is, I know everybody is discussing the Mexico trade changes. What about – what is China's ability to ship from U.S. to South America in terms of access to soybeans and corn? And do you think that's a reasonable assumption given the new administration?
Soren W. Schroder - Bunge Ltd.: Well, seasonally, this happens this time of year anyways. By the time we get into late February and March, I would say all of the soybean flows or 95% of them – 90% of them would be supplied out of Brazil and then a little bit out of Argentina well into August and September. And with this year's record year crop in Brazil, it could even be extended a little bit further perhaps and then you flip back to the U.S. in the fourth quarter. So, for the next six months, anyways, it will be South America that supplies China. Trade disruptions or not, that's what prices tell you and that will – that tail end, that seasonal switch back to the U.S., which usually happens in the fourth quarter, will probably happen again this year. But given the size of the South American bean crop this year, it could be a little later than normal.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Okay. My second question. Tom, I'm sorry that nobody asked you a question. But I feel like I want to get you included in this conference call, if that's okay? As you've been there, you haven't been there that long. But as you look through the operations, what do you think that you could improve and/or change to create your own footprint in this organization?
Thomas Michael Boehlert - Bunge Ltd.: Well, I mean, I think it's a very unique global business with a lot of prospects and optionality. It's – the footprint that the company has is very – is unique. I think one of the key areas that I will focus on very early on is efficiency and cost around the company. The company's history has been one of operating companies around the globe that historically have operated somewhat autonomously. That has changed over recent years. We've also made investments in technology quite significantly over the recent years. And so, I think the time is right for putting those two pieces together and really looking hard at our processes around the company, making them more uniform and more efficient in driving some cost out of that area. So, we have $1.4 billion of SG&A – $1.3 billion of SG&A in 2016, so that's a pretty good starting point. I also think that – I mean, that will be the primary area that I'll focus on. And as you..
Kenneth Bryan Zaslow - BMO Capital Markets (United States): And what type of buy-in can you get and how quickly can you get the buy-in? You work in the operations. You're coming from the outside. Have you made strides with each of the business units? And how do you get buy-in on that process? And then, I'll leave it there. Thank you.
Thomas Michael Boehlert - Bunge Ltd.: Well, I think, as I mentioned, there have been a number of activities around the company that have sort of nibbled around this area in recent years and the businesses around the globe recognize that there's opportunity here. We want to remain competitive. We want to drive our EPS. Everybody is compensated along those lines. And so, it's the right environment, I think, within the company to make headway on this. In terms of timing, I really need to assess exactly where we are, what the opportunities are, put together a team and a plan, engage the businesses and really make this an organic process that gets driven by the businesses around the world. So, I can't tell you much about timing and targets at this stage, but I do think the engagement will be there.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): All right. I really appreciate it and look forward to seeing your progress.
Thomas Michael Boehlert - Bunge Ltd.: Thank you.
Operator: Thank you. Our next question comes from Brett Wong with Piper Jaffray.
Brett W. S. Wong - Piper Jaffray & Co.: Hey, gentlemen. Thanks for squeezing me in here and just to fit one question in at the end. Just wanted to see what your expectations were around palm oil production this year and impact of pricing there, given expectations of more normal weather potentially in that growing season and our growing region and how will that impact other vegetable oil pricing. And your business – or basically, what are you kind of expecting in your guidance?
Soren W. Schroder - Bunge Ltd.: Yeah. We're not expecting anything unusual in palm. But I do believe we feel that there are – there are indications that the rebound in yields that the market has been expecting may not come as early or come in the magnitude that market has anticipated. And therefore, we are leaning towards a more tight palm oil situation well into our spring and summer than maybe initially anticipated. More of a repeat of last year, perhaps. And therefore, a strong demand pull for both soy and soft oils as we move into the second and third quarter. So, overall, the outlook on oil remains constructive for us. The extent of which is a little early to tell. But it could be maybe not a repeat, but something along the lines of last year.
Brett W. S. Wong - Piper Jaffray & Co.: Great. Thanks so much, guys.
Soren W. Schroder - Bunge Ltd.: Okay.
Operator: And thank you. Our final question will come from Vincent Andrews with Morgan Stanley.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Thank you. Good morning. And I do have two quick questions. So, first is, there were some reports out of Brazil recently that the government is going to increase lending levels to farmers at subsidized rates, obviously taking them down, I think, in 2015. Can you – I can see how that can help you in terms of lowering your own lending and improving your receivables. But what impact do you think that has in terms of the farmers – the timing of farmer sales? In other words, I could see where they might buy inputs earlier now that they have more cheap money and therefore price their crop earlier. Or does it give them the ability to hold on to crops longer as well? How do you think that plays out? And then, I have a follow-up.
Soren W. Schroder - Bunge Ltd.: I think I've read the same report. It's not very clear to see exactly how it gets implemented and how deep it goes into the – go to the very large and broad farm community. So, I can't tell you that I have any particular conclusion to that yet. My hunch is it won't have a big impact this year. It could have an impact in the following year. But I don't think it will be in time or in the magnitude to make much of a difference between now and, let's say, mid-summer when farmers start making their new crop planting decisions.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Okay. And then, just in the U.S., obviously, there's a lot of discussion of a lower corporate tax rate. Leaving aside the impact on your results, when you think about the fourth quarter, I know it's a while away, U.S. farmers, do you think that there's risk that they'll push sales into 1Q in order to generate that lower tax rate or is it desire to reduce pre-tax income is still great and sales should still be similar in the fourth quarter, assuming there's some change to corporate tax rates?
Soren W. Schroder - Bunge Ltd.: Yeah. We don't anticipate any change at this moment.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Okay. Thanks very much for taking me – my questions.
Soren W. Schroder - Bunge Ltd.: Okay.
Operator: And thank you. At this time, we have no further questions. I will turn the call back over to Mr. Mark Haden for closing remarks.
Mark Haden - Bunge Ltd.: Great. Thank you, Vanessa, and thank you, everyone, for joining our call this morning.
Operator: And thank you, ladies and gentlemen. This concludes today's conference. Thank you for your participation. You may now disconnect.